Sébastien Bazin: Well, thank you for joining us. I thought there were only going to be 12 of us, so we're more than -- there are more than 12 of us. So my thanks to those who are following us in the Internet where we had -- it's a great day today. Great day because we got good results, we got lot of things to tell you about and some clarification to provide. Before handing over to Jean-Jacques Morin, who is Group CFO, I'd like to just give you my own personal views on where we're at and above all, where we're headed in this group. First off, important thing, I was, in fact, thinking about that last night, trying to compare Accor. Who are we? What do we resemble? Well, if I were to describe Accor today, I would describe a fine mechanical -- a timepiece, a bit like my watch. Great mechanics because in fine mechanical operation, there were lot of things behind, there are engines and in Accor Group today, there's at least three engines and they are both different and extremely complementary. The first engine is the one that represents us best the most visible, our geographic footprint. I don’t say this often enough, Accor is present today in 99 countries. Accor is number one just about everywhere. We are far in a way number one is France; far in way number one in Europe; far in a way number one in Latin America; far in a way number one in the Pacific in Asia; soon to become number one Middle East and Africa; already number one in Africa. And I’m telling you this because we always compare somewhere right betweeen Marriott, Jinan, Huazhu. What really sets us apart from them? Well, what makes us different? We’re the only one to be so diversified across so many geographies holding leadership positions. Others are more powerful than we are. In China, bigger than we are in the U.S. but no one can equal this geographical footprint. Why it is important? It gives us local rootes to move closer to the owners to be familiar with the local culture and therefore, to interact on the new modes of behaviour of our customers. In the coutnry, we have a country managed, it may not sound much but when I travelled the owners, know the country managers, because they're from the same country. And so we speak the same laguage and though this tie that unites us is extremely strong. Never been so strong as today. Second engine, our brands, 25 brands today in the group, may not sound much. But when you talk to an owner who knows you because your presence in his country, because you’re the same nationality and when the owner wants to invest in hospitality, while of course he will consider what segment and what price for what customer base and what brand. And when you understand the granularity on the difference between a Formule 1 ibis budget, ibis Styles, you go to Mama Shelter, 25hours, JOE&JOE, Swissotel, Mercure, Grande Mercure. There isn't a single hole in the rackage, you need a hotel owner in a country you recognize, Accor is being the strongest in you country, each brand, every brand promise meets a customer the price point. There may only be €5 different between two brands, €5 is a huge difference in the minds of the customers and the brand promise. That's why we went to the -- from economy to upscale, that's why we won so many tenders, because we respond to each and every request of the local owners. And there’s the third engine, quality. And I say this with a great deal of pride, although it’s working on my side, or I working at their side with a great deal of conviction. It's our audacity, this group is up ending everything. It doesn't mean that we succeed, I don’t know, time will tell whether we're succeeding. But at least we will have tried well; disrupting everything, including ourselves; what was our core business 50 years ago; what's our business today; why we launched booster; why did we move to the upscale segment; why did we go to private rental with one fine stay; why did we move into a marketplace with Fastbooking; is it a failure, yes; did we try, answer yes; and when we test things, of course we need to know when to give up and exit. But of course there've been some incredible successes, VeryChic, a fine company; Gekko is going to up and ties with corporate; Onefinestay is a very strong compelling brand that meets a leader base Paris, London, LA with 10,000 apartments. So this constant calling into question and it happens because there are 270,000 bold people in the group, confident in themselves that destiny and the brands and the geography and our leadership in Jean-Jacques Morin, all those in this room. So when we you add up these three engines, just in five seconds thinking takes, those in the hotel sector who’ve tried so many things, who’ve diversified so much, who’ve disrupted our approach, why do we launch AccorLocal. AccorLocal, because we think that in this current world, digital tech isn't a threat but an opportunity. And through digital tech, I can have a quality of interface communication information with customers who haven't thought about safety as that's AccorLocal. But I am going to move closer to the person who doesn't need a hotel room, lives in a big city and to whom I can provide local services. Will we succeed? I don't know. Will we give it a try? For sure. Nextdoor, ditto, why we live in co-working to we work whereas we’re already present in 100 countries. And so we said right, let's embark into co-working. Why Noctis in events and catering with [foreign language]. Believe me these initiatives only represent 5% of the Group today, represented lot more tomorrow. So of failures, some will be outstanding successes, so put all that into perspective, we’ll show you the 2017 results that extraordinarily robust, it’s because that’s strong that we can attempt to many more things. Jean-Jacques, over to you.
Jean-Jacques Morin: Thank you, Sebastien. Good morning everybody. Our 2017 was another record year as in the title says. It was a very interesting year in many ways under a remarkable year in terms of financial performance. Just to give you an overview, the Group’s gross volume rose 19%, that’s excluding exchange rates, in particular thanks to the integration of FRHI over the full year. Our revenue rose 7.9% on a like-for-like basis, which does not include FRHI. EBIT reached a record level of €492 million, which was slightly above the bracket we gave you in our guidance last October. And of course generation of cash was is on a par thanks to the good operational momentum I mentioned for a number of non recurring items that I’ve explained. But status of funds from operations of 43% to €559 million, and recurring free cash flow, which was multiplied by two, that’s the overview of a bird’s eye view as recent times change. Let's look at the revenue. The Group’s revenue was slightly were almost $2 billion, $1.937 billion. If we look at the breakdown by segment, you see that HotelServices posted like-for-like growth of 5.1%, reported growth of 14.6%. New businesses saw revenue double to reach €100 million. Like-for-like growth was 6.9% in new businesses and like-for-like includes Fastbooking and three quarters of Onefinestay. And for hotel assets, our hotel assets also performed particularly well with 7% like-for-like growth, thanks in particular to a sustained level of activity in Europe. If we look at this synopsis of revenue, you will see that change scope of foundation are significant, but are largely due to the integration of FRHI into the group, which accounts for about 10 percentage points exchanges rates, had a negative effect of minus 1.4%. Let's now look at how revenue was sustained by our key markets. Our key markets are France, Europe and Asia Pacific, which account for about 70% of our key performance indicators. Looking first of all at France and Switzerland, RevPAR rose 4.2% over the year with the fourth quarter, which was by far the best quarter of the year with an increase of 7%, which was very good momentum in France. Now, this is a reflection of what’s happening in Paris where RevPAR rose 9.2% in Q4. And if we look at the full year, the gross volume of tourism rose to 20%, particularly with the return of the Chinese tourists where gross volume rose 32% and American tourist, which saw gross volume rise 20%. So a strong recovery in 2017, last year’s figure were negative as you will recall. But this is truly confirmed in 2018 probably with a regained pricing power from France. Moving on to Europe, RevPAR also was very good at 6.7% at the end of the year in 2017 and strong in Q4 at plus 6% as well. Central Europe still posting strong momentum with 9% growth in all segments, stronger than all segments. Asia Pacific, so I would say the Iberian zone, which finished very well despite the events in Catalonia of Q4 up 8% and the full year up 12%. This is a RevPAR growth. As for Germany, Germany was still in the black in Q4 and finished the year with RevPAR of 2%. Good fundamentals in Germany and the schedule of trade fairs in 2018 will work in our favor, because in every second year, the calendar works in our favor in Germany. In the UK, the situation was unchanged like the past in its previous quarters, RevPAR is relatively stable. Occupancy rates are very strong, but London was down 4.6%. This is the confirmation of the transit in London. This was offset by a good performance in the provinces. This slide continues to explore RevPAR growth in Asia Pacific this time around with RevPAR growth of 6.2% in Q4, 5.8% over the full year, and the main drivers were of course Australia. We are acquiring Mantra. RevPAR in Q4 rose 3.5% in Australia. And China is also another strong growth driver for Q4 we saw an increase of 8.9%. So in China, we’ve reap the benefits of our very strong development. The system wide, you see that Group RevPAR rose 4.7% over the full year, particularly good Q4 at 6.2%. This growth is to be found in all segments in the group. This leads us to believe that Q4 was a very good fourth quarter in excess of expectations. We were probably -- probably it was a good start of good strong momentum with which to start 2018. After commenting revenue and RevPAR, the second major growth lever in our group is our development, expansion development. So a record year in terms of development too because on organic basis, we opened 41,000 rooms, a level we never reached before higher than the guidance we gave the market. We said 40,000 it was actually higher than that. But if we add to that, the networks that we’ve acquired Rixos and BHG, the overall figure for hotels for the year was 301 added hotels and 51,400 rooms that’s what we added to the network. The mix is very much in line with previous year that’s the mix of organic, that’s 31% in the Midscale, 20% in Luxury& Upscale, 50% in ibis. And if we include the Rixos and BHG, we arrive at what we were hoping to achieve with these acquisitions, and joint ventures which is a luxury hotels increasing to account for one third of our total. As in previous periods, Asia Pacific is our main growth region with 47% of our total organic growth of development that is. Now, the existing network has been increased, as I have explained, giving us a good geographic balance in this world which our risk profile is better spread. We've consolidated our leadership in Europe, Asia Pacific, the Middle East, and Africa, South Africa, too. We claimed strategic market share in the Upscale with BHG and Rixos, but also with Banyan Tree. Now this better explain we’re continuing in the years to come. In fact, our pipeline is mainly in high growth markets for over 8% of pipeline with Asia Pacific accounting for 47% of our development. Now this record pipeline of 900 hotels and 160,000 rooms which is about 25% of our current portfolio will continue to grow. We have all these means at our disposal, 24 hotel brands. Just for the record, we had 14 two years, we now have 24, so strong growth potential, thanks to that. After talking about development, let me look at each of the segments in turn and then in greater detail. Beginning with HotelServices, we have good momentum in all our key markets. Revenue of €1.746 billion, that's a 5.1% growth rate on a like for like basis, and the reported growth of 14.6%. The benefit of development is partly offset by changes in scope of consolidation, which explains the increasing RevPAR, particularly in France with changes in scope, accounting for the disposal of our hotels in Pullman Marseille among others, renovation effects too at Pullman Montparnasse, which is our biggest single hotel in France. Now just spanned the France, Europe and Asia specific, which about 70% HotelServices, but as well Middle East and Africa rose 2.7% with contrasting situations between the Gulf region, and countries like Egypt or Morocco, which performed well with strong growth and benefitting from currency exchange rates and North America, where we now have Fairmont hotels on a likely basis in the second half of the year. The annual growth rate was 9%, that’s RevPAR growth rate of 9%, largely driven by Canada where we have a strong position. As for South America, the situation has been complex for a number of years, but last year we had the benefit of the Olympic Games in Rio, very good performance in Q3. Now, the situation is that the recovery is beginning to take shape in Q4. So RevPAR increased by 14% in Q4 after a succession of negative quarters. In fact, demand increased considerably since the -- and as a result of the Olympic Games in Rio. Variation in annual global structures and had an impact of $83 million in the NCAC region last year, we’ve addressed this in the regions elsewhere in 2018. This is part and parcel of the integration of FRHI in Accor systems. On the right hand side of the chart what you see is the growth over time. These are fees by segment in the luxury sector. Currently, 41% of the revenue of HotelServices comes from the luxury sector, there’s been a considerable change, completely new strategic orientation taken on by AccorHotels in the luxury sector. Moving on to -- as for in the P&L, I am not just looking at revenue looking like at EBITDA margin and the profitability EBITDA, and performance was remarkable on part of the HotelServices. EBITDA and EBIT both up. EBITDA in new businesses was down fraction of this because of the various investments we have to make to integrate John Paul and Onefinestay. Hotel assets were driven by our subsidiary in Poland, called Orbis where we have stake of almost 53%. This is excellent asset but this was the least good performance of our hotel assets. In summary, the EBIT margin and the EBITDA margin both rose by 100 basis points respectively to 32% and 35%. Let’s delve into the margin improvement at HotelServices from managing franchise, sales marketing digital and other activities in industry. The margin of management franchise hotels benefit from the increase in RevPAR and from development. So marketing and digital stable, thanks to the end of the digital plan and other activities, so their margin improved and activities include procurement shared services and time sharing. The overall view of EBIT well under the €9 million up 2016 because of three major elements, first of all FRHI, which now has accounts for €117 million in our earnings. Of this €117 million, €55 million were synergies that we generated. So I told you we were ahead of schedule for the synergies, we’re still ahead of schedule. We’re ahead of the improvements in our schedule. We told the market that we would expect to €65 million we’re a year ahead of schedule. We expect to achieve that by next year. As for development, it’s the second, activity and development together accounted by for about €25 million. This year, we had the benefit of one off effects, so approximately €12 million, one big particular one off concerning the exit fees subsequent to the closure of the Fairmont Acapulco in Mexico. The contract was terminated in before we made the acquisition. So we received compensation for this breach of contract. Let's now look at HotelServices performance by region. Nothing very surprising given the major trends I mentioned earlier, Asia Pacific up 12%. This was boosted by recovery right backs in China, VAT effect, France and Europe rose by 5% NCAC, which is North America, North Central America region. This was largely due to the integration of FRHI but also due to the Fairmont Acapulco impact, the one-off that I just explained to you. Africa and Middle East and Latin America, did not perform as well obviously, tricky in Afghan and the Middle East where the bigger assets underperformed. Just to give you an overview of how HotelServices EBIT breaks down worldwide, a few words now about new businesses. So we’ve said this time again, but I’ll say it once again. Our main goal with new businesses is growth. Revenue more than doubled in 2017 due to acquisitions. More than double from €45 million to €100 million in 2017. This includes John Paul and Onefinestay over the full year 2017, we acquired them in 2016. But also Availpro and VeryChic were part of the year because they were purchased in the course of the year. Year-on-year performance for all our new businesses, including those acquired during the year, all posted double-digit growth in access obviously of 10%. EBITDA remains stable at minus $25 million due to investments I’ve already commented. As for new businesses, well we can confirm that our goal is to breakeven in 2019. The acquisition of Gekko has been completed in January. In fact, it's just been completed last month, that’s the new businesses. Moving onto to hotel assets. So hotel assets performed well with RevPAR up 8.4% and revenue by 7% on a like-for-like basis. The 74 hotels that we had, the Orbis hotels that is, the 74 hotels that we own or lease very strong momentum with the Russian tourists benefit from in particular. These impacts more than offset the difficulties we encountered in Brazil where we still handful of assets. They are mostly leased on an EBITDA basis. Now Orbis did very well in operational terms with the benefits of the active portfolio management policy on its performance. Now, looking at the lower end of the P&L, this is from EBIT down to net profit. The number of variations, number of big swings in fact here, mainly due to operational impacts, the securitization of AccorInvest, but also to a number of non-recurring tax effects. So financial expense was reduced by half, down to €54 million. As we said last year, this variation is because of the mark-to-market impacts and non-cash impacts, acquisition of the Group’s head offices. This is the building you are here -- in here today. The second main explanation is the non-recurring items on the P&L. Non-recurring items remained stable at approximately minus €100 million. This includes the cost of Booster to €54 million and restructuring costs for approximately €44 million. Now what’s different this year, one very different impact is the tax credit, this year brought about by three events. First of all, change of rules in taxation in U.S., which reduced the tax burden by 12%, which generated a €59 million tax credit. Changes in the law on dividends received 3% taxation for French residents, which has an impact of about €63 million that’s a tax credit of about 63 tax credit and a deferred tax credit corresponding to the impacts of the Booster carve-out for Germany and the Netherlands. Now this combined one-off effect is €180 million. This means that we've a very good operating performance, because we have a tax credit of €51 million here. So that attracts credit another tax expense here, but we find all this on the bottom line of course, resulting in a sharp increase in net profit, which is up from €265 million to €441 million. Discontinued operations, this is AccorInvest, now with the IFRS 5, comment this in greater detail on the next slide where you'll find that profits up or down from €104 million to €67 million. RevPAR in AccorInvest was up 3%, revenue is stable, mainly due to changes in scope consolidation, particularly with the disposal of part of the F1 hotels portfolio and of course major renovations on a number of our bigger hotels, including Swissotel, Singapore, a particularly large hotel and the work we're doing refurbishing Sofitel, Rio. These have an impact, a negative impact, on EBITDA and EBIT. EBITDA down €11 million as for net income or net profits, there's a lot included in that line, but we have a significant tax burden for €195 million due to the legal restructuring with Booster and of course the burden of setting up Booster. These are partly offset by the discontinuation of amortization as required in IFRS 5, total positive effect of 233. Now these are expenses that we have to pay for new transfer assets, or entities to create Booster. Let's look at cash. Now, how do we get from EBITDA to recurring free cash flow, recurring free cash flow, as I told you, is up sharply it's more than double. This was due to the combined effects of business with better EBITDA, but also tax impacts, the total of the impacts on P&L, there's also an impact on cash, the FSO was up 43% to €559 million to which we have to add recurring CapEx, which were down on 2016. These are recurring CapEx so mainly in HotelServices you find a breakdown on the right hand side of the chart. Now, the combination of these two effects are such that we've doubled our recurring cash flow. And our cash conversion is 69% up from a mere 39% last year. Let's now look at how we go from recurring free cash flow to changes in net debt on the balance sheet. Now, the Group's debt was €1.9 billion at the end of the 2016. The main variations for the year were due to acquisitions for €357 million. These included new businesses, HotelServices account for €170 million, BHG and Rixos in particular and of course the Orbis operation, which account for €110 million. There’s the breakdown of the €357 million in non-recurring development. As for disposals considerable disposals for €147 million, mainly the disposal of the state of FRHI had traditionally and the North American company called Avendra, which was sold for to Aramark for €103 million that was our share of the sale, changes in working of requirements and the variation of positive, of positive €37 million. That’s the explanation regarding change of net debt. Now, let's now look at the net debt over time. What you see is regards the debt profile is at the average rate is down at the cost of debt is down from 285% again from 2016 to 2.04% in 2017, a very good indicator there. This is all due to the €600 million bond issue that we made of 1.25% in early 2017, which enable us to redeem two bonds at an average yield of 4% for a total €600 million in the summer. So the cost of debt has improved but the maturities also improved, because we've extended from 3.6 to 4.2 years. So again good performance as regards our debt profile. Now, we have committed ourselves to maintaining our investment grade, we're currently triple B minus by Standard & Poor’s and Fitch. This brings me to the dividend we're proposing, which is as always subject to approval by the shareholders at the AGM on the 20th of April this year. As you saw 2017 was an excellent vintage and the Board of Director which met yesterday has proposed the payments of dividend of €1.25 per share -- €1.05 per share, which will be put to the AGM on the 20th of April. This dividend is unchanged by comparison with 2016. It represents a payout ratio of 56% that’s on pretax recurring income and that will be fully paid in cash. One last side just to make sure we’re all wide awake. The impact of new accounting principles IFRS 15, which is concerns revenue recognition, is currently being implemented this IFRS 15 corresponds to the American Standard ASU 2014-09. The impact of IFRS 15 will be two fold. A significant impacts anyway, with the first of these concerns the refunding of personnel costs, which you can find in the right hand side. The employees paid by Accor are actually re-invoiced at real cost to owners in our account reporting with these are costs are reimbursed but they do not appear on the P&L. Under IFRS 15, these costs will be recognized in our accounts. Now this will not have an impact on EBIT or EBITDA value but would have dilutive impact on margin. This is impact that we have estimated 8 percentage points, because approximately €700 million in additional costs that will be booked to the hotels. The second impact is less significant and approximately €10 million impact on revenue. The second impact in terms what we call key moneys, key moneys are the funds that we pay for new management contracts, particularly in the luxury sector. In our current reporting system, key money is amortized over the duration of management contracts. Under the new rule, key money will be recognized under revenue, and again over the period of the contract. So this will reduce revenue and EBITDA approximately by €10 million per annum. We will be applying IFRS 15 as of the 2018 accounts, and we’ll be publishing pro forma accounts very soon, which will reflect these changes before that everything is perfectly comparable. One parting slide, looking forward towards 2018 and then thereafter. We continue to record good levels of business in the vast majority of our markets. These trends are supported by an underlying growth in the global travel industry. That said, we are also continuing to expand develop our hotels at a sustained rate. We expect to exceed this year’s record of 41 million hotels and we’ll do better in 2018. So we will continue to be records in terms of the number of hotels we open. We have the means to grasp our acquisition opportunities in the hotel business but elsewhere too, so we expect to increase the number of acquisitions, we will be making for the year. So broadly speaking, we’re confident about 2018. That said, I’ll now give the floor back to Sébastien Bazin to tell you more.
Sébastien Bazin: I listened to you in English that if you could come and join us. We’re heading for London, will be Boston, Chicago, your English is certainly better than mine. So IFRS 15 translate nobody understood in French, but it's really clear in English. I forgot my little widget. Here we go. Right, very good translation. So it's not to really just to pat ourselves endlessly on the back. I mean, I just wanted -- actually it was – that was that of Sebastien Valentin just to recap what we said in November 2013. For me November 23, I mean it seems like a very, very long-time ago. But in fact, in November before we set out a number of markets put down five actually, never really liked the title most valued best performing hotel company. I mean, it really is very mundane. I mean, when the most valued is Marriott. But when we look below, we said back then we’ll try not to reinvent our business but to be very clear as to the difference between our businesses. In fact, these are the back of the room, hidden in the back row, John Ozinga, in charge of AccorInvest. John, the teams, we have really delivered. Then we ask ourselves if we were going to split and divide up the whole organization, to decentralize the organization stock deciding everything at Head Office to rolling out French culture everywhere, all that was done in January 2014. There’s never been so much power in control Michael Issenberg, Asia Pacific, and Latin America. I mean the organization really exploded and it did a lot of good. And then we also saw serious questions about distribution, about digital value chain, did we have the means to take the right teams, the right priorities, did we have the money, all that was done with Vivek Badrinath, in large part on revamping the digital plan. And we did well to do it when we did it. And then we asked ourselves questions about the geographic segment. You see in this slide that present how much the Group has come a long way in terms of positioning and geography. And it was probably the most complicated largely where we going to embark all our people. The message is that was launched in November 2013 was it going to please while come together or was it going to generate fear, in which case none of these five points would have been achieved, four years have elapsed, there's about 1 per million of the staff representatives. But all of that was done because people believed in it and they gave 1,000% and it was within the realm of the possible. We were right to do that in November 2013, you were right to pull the slide, had it not been done, we wouldn't have shown you this slide. There's other we don't show you. But this one we did want to show you. I don't know when there is certain pillars, so probably a lot of symbolism in the three, five, seven, eight in China, but there's no symbolism as far as I am concerned, it so happened there are seven. So let's spend a little bit of time on each financial profile where we’re at in terms of asset life, what we've done in terms of M&A, the money, important thing, that's why we put a different color, is the result of the sixth initiative such that this Group has never been as strong as it is today. This pretty much summarizes what has happened over the past seven years in this Group. And it summarizes quite successfully what I said in November 2013. There's a visible leap when you transform a company, when you want to embark people, you have to give proof that it works. If you don't give any proof what people will have doubts, motivation, energy will flag. And so we tend to rely on what we've done for 50 years. With every year that passes, proof is ever more compelling regarding the increased margins, the ability to deliver the results and it's all the more surprising at the same time. I was looking at this couple of days ago. It wasn't a bed of roses, I mean have the impression that it's easy we go from 11, 9, 10, 12, 9, at the same time, we were hit by the digital wave booking, Ctrip, we had AI, terrorist attacks. All that we have the impression that it's being erased and forgotten. Now what happened, forgotten one bit when we were early in 2016, I had no idea the results were going to be down 20%, which was the case in the first half. We were going to continue to grow the Group's earnings. In spite of all that or perhaps thanks to all that, the motivation was far in a way higher, and so the results were achieved. The hardest part is to continue what we’d be able to continue on year to gain 50 bps margins. I think people want to achieve that but don’t take it lightly, because it represents how it’ll all work. I said that earlier there were two engines, the brands and the geography. On the left, the huge progression in the luxury segment this Group for 47 years, 80% was an extraordinarily powerful group recognized credible ibis, Novotel, Mecure. Take a look at where we are today. The largest segment in the Group is Sofitel, Pullman, Swissotel, Fairmont, Raffles, 41% and it set to grow in one, two, three year 41% will become 50%, but we didn’t do it at the expense to the others, because the others have grown to just deliberately we sought to diversify so as to seek out management contracts. And management contracts on the Fairmont, Raffles, Sofitel 10 to 15 times in terms of absolute numbers. You can make €4 million in management fees here 400,000 on an ibis. So the work load is identical when it comes to opening the hotel but after that, you have a contribution that’s far high. The Americans understood that well before we did. They, for a very long time, were very focused on this segment that we had a tendency to forget, not forget in fact the Sofitel brand however prestigious, wasn’t sufficiently strong to reach 41% diversification, that’s why we have to conquer and acquire existing brands. And on geography, so it’s being two-thirds Europe, now we’re 52%, will probably decline with acquisitions happening in Latin America, As-Pac and elsewhere. Management contract, there’s one other things that we need to remember once again is it better, is it not so good views will vary. As Accor boss, I think it’s better to be 80% focused on management contracts that put the question to a intercom, Marriott hill, so they’ll probably tell you the exact opposite that it’s to be on franchise contracts, neither one nor the other a right or wrong, it’s just very different and you need to know that. 80% of Accor fees generated by management hotels, it’s the opposite in our U.S. payers. Why do I think it's better? First off, because they’re longer, and management contract is between 22 to 35 years, franchise contracts seven, 15 years. So we have clarity going forward that’s much better. Since it's more important, because we cover personnel operations, we of course have to manage traffic. And so we have very tie that is closer with the owner, because we do the job when you're franchise, it’s a franchisee who manages the guest, the results, who decides on the prices. Here it's us, it's more onerous, there is greater responsibility but we’re in control in the driving seat and it’s important when you come to roll out digital, you can decide to roll out 80% of the network. This stood out for Luxury and Upscale for our American payers, large part of Luxury Upscale contracts and not franchise. These are management contracts where Accor is very well equipped. And with that of course, we can better meet the expansion needs of the Group. You’ll recall that we spent €250 million. We invested with the Vivek Badrinath plan. You have the explanation why we spent this money and why it was necessary, why it was indispensable. Loyalty program we would know. We have talked the €14 million, it was probably about €12 million, seven or eight years ago, it’s very important that the number of loyalty members, card holders to be significant. What’s important is not their number their contribution to the Group’s revenue. We’ve talked that 31% mark -- 31% of our business volume is in the hands of loyal guest. The Americans are about 50%, they started 35 years ago. We really have to go flat out even if we’ve had a two-fold increase over four years, it’s not good enough. This number should be €50 million, €60 million, €70 million, gradually we’re getting there as the network expands the more we can convince our members. Mobile app, each of you book more on more on your device, on your smartphone, less and less on tablets. Top right, we revised our prices 9 million times a day price updates our room rate, depending on the hour, the weather, the day of the week, the occupancy. 9 million times our machines update the price. Why? It’s because below on the left for you, we have 968 solicitations per booking. To make one booking, I have a thousand requests for information, that’s to say that I do 1.7 bookings per second. That means that every second in the Accor Group, I have 1,600 requests, that’s 150 times a day. Why, so many? Because what you don’t see -- the algorithms, trivago, TripAdvisor, Ctrip, Booking, Expedia, all the major players have a machine that bombards you with requests for information, so that they can answer within a second to the price differentiation on a segmented geography or brand. And so either that we decide not to respond, in which case, we’re not so well ranked to booking TripAdvisor, Expedia, because we don’t give the information they want. So we decide to answer, in which case the machine has to support those requests. That’s the IT infrastructure. It’s the ability not just to book, but the ability to provide information. That’s why there are €130 million were invested out of the €247 million by the teams. For TARS, reservation system can supply this information, that's why you'll see the revenue volumes up for €9 billion to €19 billion. Real Estate, mentioned John who wants -- he is at the back of the room. Not just Accor invest here, it’s everything we’ve done in real estate over the past four years. €1.8 billion net investments that’s to say that we acquired for €2 billion, developed CapEx €700 million and sold for €800 million, doesn't sound much. We were doing the math yesterday, but John presenting to the Board what he's done, it's a mammoth colossal task over a thousand negotiations over three years, purchasing, sales, renegotiating rents on a thousand different contracts and hotels, and all this with a team of 35 people. And so when we do that, of course we ask the right questions, we take the right decisions as long as we're well organized. We have the financial resources, the ability to decide and John had full freedom to decide for the real estate business and the company. €1.5 billion in value generated and €1.2 billion cash flow generated by the business, fairly it's an IRR of 12%, that isn't why. But more important than IRR and why it works critically important for me is what I said earlier, in the proof, all the Group's real estate activity generated €300 million in EBIT back then. Today, we’re at €550 million and closed on €600 million. We've doubled the margin that was 7.58 has grown to 15 and it's not over the margin, we'll probably top the 20% mark, number of hotels will shrink. So it means that this group has the ability to seek on a number of productivity efficiencies, as long as it's bold, has talent, technology and financial resources. So what's been done here with Group real estate is not only remarkable, what's really surprising same thing when we’re talking 2013 yesterday, we were comparing what the plan, the real estate plan was at the end of 2013 and where we’re at four years later on the €2 billion. 95% of the plan that was written at the end of '13, '14 has delivered rigorously four years later, it's not down to him or to me, perhaps a stroke of luck. But what's surprising is we can project ourselves into many universes and what the mobile apps will be, will it be real estate, will it be the geographies, but each and every time we probably ask the right questions before getting started. So this is one of the outcomes. Many of you in this room, I’d ask you the question, how much did this Group spend over past five years. You probably have been wider the mark by over €1 billion, €6.3 billion in CapEx spent in four years. €3.7 billion in our business in our brands or in geographies. €3 billion, there're two major acquisition Fairmont, Raffles, Swissotels and Mantra. Mama Shelter, Banyan Tree, BHG, €2 billion invested in real estate. The financial markets didn't want us to do that, they felt that hoteliers couldn't do right benefit from the real estate investment they’re wrong as we can do this as long as we have a dedicated team and dedicated expertise, €600 million spent in new businesses. When I am on a road show, people only talk to me about €600 million, because they don't know what was spent next to that, not an excuse when I say it's less than 10%. It's not because it's less than 10% that I forgotten, its €600 million but it puts things into proportion. Accor always has its priorities, our coal business is central, real estate is central, up until a very near future. It was done and done well, this is why it was done well. Because Jean-Jacques Morin, Sebastien Valentin and I back in December 2015, we have what did we hear from each of you looking at me when you're based in New York or London. It’s crazy, you’ve gone off the rails, its private equity, what's this business have buying at the worse time brands 20 times the multiple, you don’t what you're doing. Accor is not credible in luxury, you're going to use the third of the management contract, your hotel managers will leave and drove and you’ll probably negotiated with owner friends of the day, you gave so you shouldn’t get start. I mean I heard it all 90% of people had doubts all were extraordinarily aggressive. And your synergy is total rubbish, you’re trying to get us to believe that you -- all those of you who said that to me, come back and see me, we’ll have a glass of wine together, it’s on me but take a look at what we’ve achieved. And outlook wasn’t easy, €65 million in synergies but we're going to do that in three years through 2019, €55 million achieved at the end of '17 that is a year ahead of time. So the multiple today is close to 13 and not 20. It’s precisely what we said to all the doubters and none of these doubters today would come back and challenge the acquisition. It has changed everything and the Group’s positioning, and motivation of the teams, and our ties with the local owners. It has changed everything. And what's more of the same period, we signed 36 hotels under Fairmount, Sofitel and Raffles brands. That’s to say we probably want two thirds of the tenders, none of the tenders Accor would have pitched forward to Sofitel brand. Strategic, financially, smart, motivating and transformative. And then you have Huazhu, that’s to say China Lodging. Well, people weren’t that skeptical, they were agnostic, take 10%, 11% of Huazhu, was it a smart move. It was a bold gamble to contribute to growth through our Chinese partners. Had we planned that its market cap would go from €1.5 billion to €10 billion, of course not, but what we had planned is what has been achieved it’s not what I'm showing here. Why did we sign with China Lodging? We decided back then that Chinese market was in dispense to volatility of the market where we couldn’t exit a market where we hadn’t made name on it, because the prices, the modus operandi such as local competition is far better than foreign competition. So we didn’t have the weapons to go fight on a very strategic market. So we decided instead of fighting that we team up, and we teamed up with Chairman Ji Qi and his group. But in this alliance, we written a number of things, not that his group was going to increase its market cap fivefold, but we would set a milestone in five years, we need to vote 250 hotels on to the brands that we’re entrusting you with the franchise, ibis, Novotel and Mercure. Barely 18 months lap, the gentlemen since then has opened 68 hotels under our banners. He has signed 177 hotels under our banners, that’s 243 hotels in 18 months where 350 were planned five year. You know what, 243 in 18 months is a lot more than what Accor did in 40 years with the same brands. So this partnership is hugely strategic in our ability to rollout our brands, ibis, Novotel, Mercure in China and over there, we have very good knowledge of the country, both great fears, opportunities but a very good reading of the situation, because we have two precious allies, China Lodging and our main shareholder, Jin Jiang, who's growing as fast and in an expert and sophisticated manner like China lodging. So Accor, thanks to those two relationships really does have presence, the credibility that visibility in China that others don’t have. When I say skeptical or agnostic, why do we take part, quite simply because there's nothing amateurish about the Accor Group, nothing at all amateurish about us. But importantly, we are capable of thinking situations out, taking initiatives. The reason being that we are disciplined we want to move forward, but we’re very disciplined about it. If you look at the chart, you see what we’re trying to do. What we try to do is never to lose market share in regions in where we have a dominant role. We tried to accelerate growth where we have growth, Asia-Pacific, Latin America and Middle East and elsewhere. And of course, we endeavor to expand over and beyond our comfort zone to venture to new businesses. And of course, we try not to make silly mistakes. We tried to acquire groups and companies that were perfectly capable of taking on in terms of risk. So when you put all these criterias into a basket, you can then pick what’s best, what’s idiotic, what make senses and this is why we have key performance indicators. It must be accretive in terms of earnings per share, must a reasonable multiple. And after the synergies, the multiple must be lower than the groups multiple. We must look at the return on capital employed, how much we put into the acquisition, how much money is invested off the acquisition, how this compares with our own return on capital employed. And of course does this dovetail with the Group's strategy in terms of segments and in terms of geographic regions. Now, the KPI is our new business and have to be different. These are growth areas with different customer experiences. These are things where we look at data, the emotional side of things the encounters. So we have what we -- I think we call disruption of growth, Fastbooking, the John Paul, the Noctics and so many -- Potel & Chabot and so many others. These are by far the most important. I have been talking to about this for four years now. The frequency of the points of contact with our clients, I've been saying for four years now. How come Apple, Amazon, Alibaba and the other Facebook, all these platforms? How come they're so powerful? And the reason is that they’re in your minds everyday and they’re in your minds because you use them every day. So they’re in your homes, in your field of vision, in your minds and many of you are actually dependent on them, ask your teenagers how much time they spend on Facebook every day, how often they open the Facebook. In America, much time that the Americans spend online, 24 hours a week, that's one full 24 hour day every week for your average American on of course different applications. This is something mind boggling. I imagine our children spend about two hours a day on various applications. What is our point of contact with our customers? Well, we've improved four times a year would be really tops. So I need to increase from four times a year, to four times a month, and you're not going to come four times a month to an AccorHotel. But if I can catch your attention when you're home, if we can provide you with a service at any time, if I could find you an one-time stay or not just restaurant, or if you could use Potel & Chabot, there're so many ways in which I could increase the number of points of contact. And the more frequently I can multiply them the more contact we have, the more pushing we could do, and the more one day Accor would become top of mind. It's extremely important to do that and to do that you can't stay within your comfort zone as a hotel group. That brings us to customer retention, anchoring customer loyalty. Now, it costs us so much to acquire you, I don't want to lose you, once we get your attention, which brings us to data, which brings us to another world of the world of protecting 60% of our core business that is corporate clients. This is why we acquired Gekko. I am going to introduce you to the Gekko management team. You'll see that you'll be absolutely dazzled by what they do, just like me. I talked to you about evidence and proof earlier on, but here we have proof. It's easy to see because we're giving you the multiples. If you look at brands, we've multiplied the brands by two and we've increased from 13 to 25 in 2017. Of course the pipeline has been improved, it's 50%, 161,000 rooms which 900 hotels signed up and are due to open over the next four to five years. The business volume I mentioned earlier on, business volume has increased from 9 billion under our Accor brands to 18 billion in five years, we've doubled that figure. That's why we invested in infrastructure, to be able to meet this doubling of business volume, the more hotels you open, the more rooms you have 616,000 rooms, 41,000 opened every year, much more than in the past. And hope some of you have spent five or 10 minutes now with Gaurav Bhushan, the Group Head of Development. This is an extraordinary guy in terms of his ability to project it to the future, to understand and seduce, charm people. Fortunately for us, the shareholders take a very good view of this, because our market cap has risen from €6 billion to €13 billion over the same period. Now, let's take a real bird's eye view. Let's look set back, this just work because we’re good, it’s also because we’re the very fortunate sector business. We have tailwinds very few headwinds from time-to-time on their touristic tags, there is credits when Airbnb signs contract in Rio at the time of the Olympic Games. And of course from time-to-time the winds change. And not just over the last five years for may be 15 years now, the tourist industry has benefited from tailwinds, because this is a growth industry, an industry that has cloud summaries and it’s profitable. And this is why it’s one of the sectors that was most rapidly disrupted, because all the digital players were clear to understand because this is a big market, a growing market and a profitable one. It's also complete visibility, it’s easier to understand hotel's business than other minimum transformation processes. The interesting thing about this transparency is that not only are we particularly fortunate but the whole situation is gathering pace. A $1 trillion in 2010 or may be $4 trillion, which increase, although really increase to over $5 trillion and all likelihood, we will reach $6 trillion but in three years time so it’s somewhere between 2017 and 2020. And so how come the industry is gathering pace, because the world has changed and are emerging middle classes and most importantly, because the considerable increase in the number of low cost airline companies. And the number of low cost airline companies are being more numerous, the cost of travel is probably only half of what it was 10 years ago. Of course, a lot of domestic travel and we talked about 1.3 billion international trips. But in China alone you have 600 people staying in hotel. This is why China has developed so rapidly. China isn’t just waiting on foreign visitors, China also caters for people who arrive from local destinations as we do in France, that’s 60% of our business. This is our own domestic markets, people from our own country. Now these figures are very reviled, but we don’t take about them often and often. And the figure isn’t here, I was told you everybody knows it, but one job in every ten of the world is in the tourist and travel industry, one in every ten, 10%, maybe more. What’s more surprising is this figure here. 23% of job creations over the next 10 years will be in the tourist and travel industry. 23%, that’s not one in ten this one is four these figures have to be all these projections are to be believed. So ours is a growth industry but domestically and internationally, one area where we have to be very careful and there is something I often mention is our Chinese friends. They have become the dominant players in terms of outbound market, but they have also become dominant players in terms of spend for travel be it in China or internationally. On the [banner]. This is why we cannot afford to exit China. We cannot fail to understand who they are, what they want, what they intend to do, and what they -- how they each or what relations they have, what mobile application they use, what language, what currencies, and what means of payment they use. Revolutionary thing about this is the China is well ahead of the western world in terms of payment by mobile through WeChat and Alipay. They are well ahead of the western world. And Xi Jinping could prove these figures right, because he told us that in two to three years time at the very most, all transactions in China, 100% will be made by mobile. In other words, in all likelihood in three years time, there will be no more cash and no more plastic money. That changes everything. That changes everything for us as it does for them. So it’s important not to underestimate the 70% of leisure travelers, its 40% of our business but that figure is rising rapidly. This is where we have 90% of Expedia booking in Airbnb’s business, that’s exactly with leisure clients. So we need to devote more time and attention to them, be more agile. This is why we ventured into John Paul, because John Paul is the digital interface between leisure clients of our hotels and services. And this is very close to the main drivers I told about. Well, for 99% you I’m sure you have no difficulty understanding what’s A what’s B, and what C and D represents, but we don’t our competitors to be telling us off, they don’t mind mentioning to us but we won’t mention that. Now, we’re looking at a period of nine months of 2017, its openings of the leading hotel companies. So the 33.9, 34 is very close to the 41,000 rooms opened in 2017, except that for the purpose of comparison, we only have the figures for the first nine months. Now, why I’m showing you this slide, quite simply is because what you have here in gray is the USA. You have the number of rooms that opened over the first nine months, 52,000 for A, 18,000 for North America, and B has 40,014 and so on so forth. 34,000, which means that we are 2.5 times better than our main competitors in terms of rooms opened outside of USA, which means that week-after-week month-after-month, Accor is widening the gap between itself and other hotel groups outside of the USA. And this is intentional. In fact, in the USA, we’re not good. We haven’t lot much. Of course, we’ll continue to develop Fairmont and we continue to expand Sofitel in the USA. I’m sure we’ll make some small acquisitions, but we will never be the leading group in USA but we need our brands to be present in the market. We need to be present in the minds of American travelers. However, it varies to see that in the Middle East and the Africa in yellow or in Europe. Asia Pacific is the only area where we are on par with our main competitors, South America with much better foothold -- footprint. Bear that in mind, because we’re going to widen that gap, we will continue to widen that gap. I’ll show you the verticals in just couple of minutes, so easy to remember the first vertical is our core business what we do over the last 50 years. We are hoteliers who cater for travelers and we do a very good job at that. Our second business is that while within the travel space can we attract clients or guess who don't need a bed, could we cater for them with our services or digital tools that we provide with Fastbooking and so. All these new initiatives that enable us to broaden our spectrum over and beyond hotel rooms, and of course the third layer is the -- I told you in the early stages, we're going to seek out people who don't travel at all. We're going to share pool amortize, open up existing assets, in our other words our hotels, which are very often in prime locations, city centers and open 24 hours a day, seven days a week, and who have 270,000 expert and talented people providing services. We're going to see if we can open up these services to the community, to locals, to their everyday lives, because I am talking about points of contact. So how do we go about meeting you twice a week rather than three to four times a year? This is my last slide. These are the words I want you to retain, and these are the words I want the people working with me to retain. Three different lines, top line. Obviously, working at our top line revenue we are a trading company, we provide services, we are at the service of our guests, we are at the service of asset owners. So we have obligations, almost attract owners to sign a contract. We must attract the guests who make sure that they prefer the Accor brands. Once you've attracted them, we must then convert them as far as possible to our mobile applications. We don't want people joining accor.com and then booking and ending up at Hyatt or elsewhere. We know all about that, we have the data, we know how many clients we lose, because we want faster agile enough, we want responsive enough with regards the information that we're seeking. Now once they’ve come along, once we've taken that trouble, we have to retain them by providing something else. We need to understand who they are, their habits, what they want where, with what culture. Next slide is acceleration, its growth. We must expand our geographic coverage, the number of brands. We've already expanded from 13 to 25 and you've seen the break down by segment. We will then multiply the touch points or points of contact as I've been calling them, and then we must transform all this. And at the bottom line, we transform not our guests, our guests are who they are and clients are who they are. We transform ourselves, we transform the people in this room, around me. In other words, we enable our employees to reinvent themselves, we’ll continue to do what we've always done well, but we will continue to challenge unhindered, unfettered, accepting failure, accepting flubs, we will ensure that we go further, faster and very differently to everybody else. That is the lie of the land, that's who we are. Now, I know we're moving onto what you really love. This is the Q&A session. Thank you for your attention.
Sébastien Bazin: When I don't know, I hand over to Jean-Jacques and vice versa. Who would like to kick off?
Julien Richer: Kepler Cheuvreax, two questions please, first on new business. What you gave us in terms of midterm targets. So 30% of growth from new business, in terms of EBITDA, we're still on those objectives and how do you see the ramp up going forward? Secondly, on Airbnb, we saw the opening that distribution network to hoteliers. Do you see that competition today have an impact on your system growth, going forward? Thanks.
Sébastien Bazin: Well, on the new business, 30% strictly the same, the two things the new business. First off, you need to be very careful because in fact we’ll find another term other new business because another new business worries people what’s this new thing. The growth of the John Paul isn’t the same of a Gekko different from VeryChic. So yes, its simpler as they write, 30% of growth but some growth rates will be 85% a year others 15%, some growth rates are very profitable. Gecko, John Paul growth profitable, Onefinestay not profitable the more I open cities the more it cost €1.5 million. And I have the J curve, I have to wait to get the return on the new city that was open. So I have to spend more time with you on the granularity of this mode of growth revenue. 30% of the EBITDA growth must be represented by new business. Today the lesson, the past two months growth was only 10% per annum whereas probably in 2018, it will be 3 or 4 times higher than that the past two months because we made one mistake that I acknowledge. The first three months before the acquisition, the first three months pre and post acquisition, we spend a huge amount of time, challenging not necessarily the business model and what we acquired but imposing on the purchase company. All the habit, the norms, the securities of Accor group, we took with IT boss, we took the CL time, your business is great. But notably in terms of IT security that to say that Accor and touchwood Accor thus far has never had an IT security issue losing customers data. But now we have firewalls that are very powerful, we impose all our IT standards on these small companies. And it was a nightmare for them to adopt their IT systems in order to respond to the constraints of Accor. We did write because its three small entry doors that you can pollute contaminated systems. Don’t do that. We spend more time in the back of the house than in the front of the house. So growth in 2017 isn't what I expected for reasons that are probably linked to Accor and not to the leaders, but I won’t change one -- 30% will come from new group. What should have happened in 21 may happen slip to 22, we have them -- we've lost a year but not the light or the direction. On Airbnb we saw announcement, the announcement is pretty powerful, ambitious. I said I’ve always had admiration for Airbnb, I’ve never decried the company. It seems fully reasonable and reason that they should go to new business, there’s an increase the range of offerings. Exactly what we did when we launched independent hotel distributions, same logic I have a distribution platform, I'm distributing 4,300 hotels. Can I bring in independent hoteliers? We realized, it wasn’t a good idea. We moved from 13 to 25 brands. If they can do it so much the better, if it assumes a considerable size. Of course, Accor will look. Why it’s detrimental and which might be profitable? Those will look sharper. Booking secrete, Expedia because it works very well, maybe it will be the disruption of the first model, so fascinating, interesting and pretty exciting to watch, wide open.
Geoffrey d'Halluin: Deutsche Bank. Two questions if I may over here. So first question, could you give us some color on the start of the year in terms of RevPAR on the first six weeks of the year, notably in Europe and the main geographies where you’re present. And secondly, maybe a word on Mantra, because we saw the Australian regulatory authorities have spoken. Is there a fear to the fact that one the deal won’t happen and secondly that you may be forced to sale some of the Mantra assets for the deal to happen?
Sébastien Bazin: I'll let Jean-Jacques speak to the first question. On the second, on Mantra, I was there fortnight ago. The competition authorities today haven’t finished the work. So I expect around mid-March we’ll have the report of the requirements. I mean, Accor has very strong very powerful in Australia now Mantra, very well. We know the competition authorities very well. There is a very clear dialogue. There is absolutely no worries on the part of Accor. A few concerns on the product group. The deal will happen 99.9% in a given city, maybe a requirement by the authorities to de-densify three, four, five hotels. I don’t know, it’s too soon to say. What I can tell you is that you have a certainty that deal will close, its financed in Q2 and we’ll favorably respond to the request from the competition authorities. On the early part of the year what I said in my pres is that the exit velocity the way we’re exiting ’17 entering into ’18 is obviously very good. What we see in January that’s the month that’s not very representative of the Group’s business numbers that are positive, not as strong as those in Q4 for France and Germany, but a very good for Central Europe. So what I’d say is that to judge what’s happening in ’18 on the basis of January is not very reasonable but in fact, I don’t see anything that would come to what I said regarding the trends exiting ’17.
Jean-Jacques Morin: 6% RevPAR in January, 7% February so you need to listen to what the interpreter said. That’s why yes, I wanted to…
Richard Clarke: Richard Clarke from Bernstein. Three questions from me. First one, on core invest. I know that you'll be limited in what you can say but normally you give an update on at least the gross asset value. Anything you can say on what’s changed since the last update and anything you can say as your impressions of time table from here. Second question is just this time last year, you had a slight suggestion you could double EBITDA, I think by 2020 if I’ve got that timing right. Based time I think on the margin side, you said that 50 basis points would be hard work. Is this slowing down in some of the guidance whereas you are still sticking with that view? And then the third one I know you closed down the marketplace and some at least the press reports on that suggest that it was because your owners didn't like being pitched up against independent on the same Web site. That could also probably be true if some of your other ventures like VeryChic and potentially Gekko, how are those going down with owners. And anytime to promote AccorHotels further up the list on those perhaps?
Sébastien Bazin: So I'll answer in English, but we do have translation. So on AccorInvest, what I could tell you is that what we wrote into the press release this morning. We've never been so close, so we are in the final stages and [indiscernible]. In terms of gross asset value, you're going to have to be patient as I am and you're going to be getting the news soon enough. And I did say it's a matter of weeks, not a matter of months. But I am not going to say anything more on this transaction. I wish I'd be able to tell you today and this is not the case. On double EBITDA yes we're confirming and we're probably going to be discussing it in a greater detail. We're going to be meeting each of you and sell side and/or investors indeed by 2021. We should be able to double the EBITDA of this group, which is a mix between the three verticals, one, two and three, and we'd probably be more granular when we're going to be meet face-to-face. And on the market base, no it's not at all due to reaction from owners, indeed some owners in some territories were more fearful than others. For example, in Malaysia, some people were not happy about it, in some towns in France, people were dubious about it. But we did not close it because we got any nasty emails or any registered mail, that's not the case. We closed it because it didn’t have traction and we didn’t have traction not because it wasn't a good idea, it was a good idea. It's because we've never made any publicity about it, so i.e. people going on accorhotel.com went there because they wanted an Accor branded hotel. And we never spend the time explaining to them that we had been a curator, basically preselecting for him the best independent hotels in time, and the money would have cost us, technology, talent for converting those people into non-Accor hotel was too costly compared to really focusing on what is today in 25 brands as opposed to 13 brands. So it's just a question of let's change gears, it might had been a good idea which is not the right focus today. And Gekko and VeryChic is selling at discounted price in lot of hotels, 14% of balance sheet today inventory is Accor branded, it's probably going to get higher but it's not going to be 50%. And balance sheet did not get any remarks whatsoever from the competitors of Accor. So it's going fine and the Gekko hasn't lost any clients, neither Fastbooking and/or AvailPro, did they lose any of independent hotels client, because they were build by Accor, no. So any fear you have on basically us integrating vertically somebody doesn't have it. How many of you here know -- you probably all know that YouTube and Waze belongs to Google. How many of you know here that Instagram and Whatsapp is Facebook, how many of you know that trivago is part of Expedia. So many customers, when they actually deal with a new app or a new business, you actually don't care and you don't know who is on the top of it as long as you get what you want out of it. So let's move forward, let's be cautious, but no, we haven't suffered any loss of business on any acquisitions because of Accor ownership.
Unidentified Analyst: What happens when you're on directly on Internet people who can -- do we have any written questions maybe just like a large studio, because it was not in whole. Rather than we break for coffee we have a question from lady. So she tells me how -- could you tell us more about your dividend policy. We saw the dividend is at €1.05, that’s after the disposal of AccorInvest. Can there be any changes, any foreseeable changes?
Sébastien Bazin: In the post booster, we will review the dividend policy. We will review by comparing it with pure play asset like players. If we look at what others are doing in terms of dividend policy, in a pure play model what matters is the EBIT and cash generated. So our dividend policy will probably be aligned again subject to review, but probably be aligned on the generation of recurring cash flow like the current situation, which is based on normalized operating profit, that’s the first aspect. The second important part as you will see in the main groups we compete with. We have ordinary dividend policy, which is based on what I just explained. And secondly, as we generate EBIT and cash, these are groups such return substantial amounts of exceptional dividends to the shareholders. We will probably adopt an ordinary dividend policy based on the calculations explained, the percentage of recurring free cash flow and we will also have a strategy over or beyond what I’ve just said about operation policy, we will also have a policy on extraordinary items.
Jean-Jacques Morin: I would like to jump in here. I should have said this earlier, a lot of friendly faces in the room, those of you on the Internet probably don’t see the people in the room, but for those of you who might know, as does Jean-Jacques but those of you who like to know who they are. For the Booster operation, while a lot of people in the room here who were bankers, who signed up for the $3.6 billion allocated to John Ozinga who’s back of the room, we have a lot of investment bankers who’re in the room, we have a lot of the groups partners. So the 2017 performance is thanks to you, too. So let me thank you all for coming. I hope you had what you wanted to hear. But I would also like to say that you have played a part in what's been happening over the last four years in fact in bit over the last 10 years. So once again thank you for being here, those of you who have questions, well I'm sure if you ask a journalist, well this is a chance that you will find somebody able to answer any question you could have. I think we’re going to enjoy the coffee break, plenty of questions. We have another question coming.
Julien Richer: I am from Kepler Cheuvreux. Could you tell us once again why all this wasn’t integrated into AccorInvest, and what you plan to do with all for this?
Sébastien Bazin: Strategically speaking, Orbis is a magnificent company which we have a majority stake, it’s based in Poland and it’s by far the biggest hotel operation in Eastern Europe. Marvelous growth in terms of market cap and profits that its worth of €100 billion today -- €100 million, I should say. And Orbis is listed on the main index in Warsaw. I smiled when you asked the question, because when I tell you it’s a matter of weeks and when I see how impatient you are just as impatient as I am, by the way. There is no need to make Accor here anymore complex by including Orbis, it only have made matters more complicate. When you put a majority stake in a listed company this means that you have to delist Orbis. So for instance, it was just too complicated and not good timing. That said, we may disagree John Ozinga. John would love to have Orbis’s assets, I say no, Orbis will remain and continues to be an independent company with independent management with wonderful shareholders and we will review the situation of Orbis at some stage in the future maybe and then maybe not.
Julien Richer: I had another question concerning CapEx. We saw that recurring CapEx is down. Could you give us some guidance for the short-term outlook 2018 for instance as for your new businesses and services. I think you called new businesses. Should we anticipate additional CapEx for comparison with the previous CapEx plan?
Sébastien Bazin: This year’s recurring CapEx is unusually low. We were very key money in the course of the period, the famous key money I told you about when I was explaining IFRS 15. But also year-on-year from 2017 to 2018, we have the ramp down of our digital program. So I think the figure for future reference in your models will be probably somewhere in excess of €200 million and around the €214 million mark. And that will include CapEx from Orbis, in particular. This is why I just don’t answer your question. Orbis is an entry that’s expanding through construction. We opened new hotels that doing a remarkably good job with a very good return on capital employed. So we will ensure you and ensure ourselves that this CapEx, even though it’s not with some you would expected a real investments and not a expenditure with very, very good paybacks. Very importantly, you saw the ramp up of our luxury assets, this is what we have this at key money. We didn’t spend a lot of key money in 2017, but in the future, we intend to increase the fees in every sector. These are -- we've already explained we're looking at 50% and more, which is going to require certain amount of key money in addition to the ramp up of traditional CapEx of €200 million to €240 million. John promised me he will stay with us for coffee. That's John Ozinga at the back of the room, I don’t see him but I know he said yes. I know he means to stay with us, in fact.
Unidentified Analyst: So the first question is on HotelServices. The fees are 5.1% on a like-for-like basis with RevPAR being at 4.7% and net room growth of 7%. So how could you bridge that? And are there any scope impacts explaining all this? And would there be any guidance for scope impact going forward in 2018?
Sébastien Bazin: So the answer to that question is there are a few exceptional elements, some of which I think I covered most of them when I was explaining the numbers, one is F1, and besides that we're including little bit less than 60 hotels. So it does have an impact on the differential between the RevPAR and the revenue. The other one is the Montparnasse hotel, which is the largest hotel that we have and which is currently closed and we’ll come back at one point in time in 2019. But for now, it's closed and so it has quite significant effect on -- and create some disparity between revenue and RevPAR. And the last one is that there was a deflag of also a large hotel in Marseilles, the Pullman Marseilles. And so all of that explains those differences. I mean, yes the guidance that there is not much difference. Again, the revenues should grow at the RevPAR plus development and I say traction, because there is always impact in the numbers that are coming from developing hotels, so that's the summary of it.
Unidentified Analyst: One more question from Jamie. Cost sustainability as you move to profitable sales marketing and digital. What are your plans from improving digital performance, no marketplace has been closed and what is your OTA mix even though I am not sure we answer the last one.
Sébastien Bazin: I think on [SMD] the fee area of it is that it should be a zero P&L, so it should be a breakeven P&L, because in essence what you get there is you get money which are paid to you so that you basically can distribute market and sales products. So the CRE of this P&L is that it should be a zero P&L and the improvement and why in fact it had been negative over the last couple of years is because of the €250 million digital plan, which was in fact costing in terms of development of the product and now costing in terms of planning of the product. So that's why you had this trend down on the SMD deficit, which we can see in the account itself.
Unidentified Analyst: OTA mix?
Sébastien Bazin: No, we don't disclose.
Unidentified Analyst: Last one on AccorInvest results. The 2% EBITDA drop in AccorInvest, you explicitly pointing given strong RevPar and high operation gearing. So what was the underlying performance, like disposals or renovations?
Sébastien Bazin: I think we should pass the mic to Jean.
Jean-Jacques Morin: In fact it's very much in line with what we have budgeted and what we are expecting, very much in line. And it's essentially coming from large renovation that we're doing in Singapore, the Swissotel Singapore, which is a gigantic hotel in Singapore and also what we're doing with the Swissotel in Rio. So it's essentially renovation.
Sébastien Bazin: It's not ongoing it's just a question of perimeter?
Jean-Jacques Morin: Yes, it's a perimeter effect, renovation effect. So the performance on their earnings was good. And then I'd say little bit with IFRS 5, so that you don't [Multiple Speakers]…
Sébastien Bazin: Normally it is good, and again we’ll spend more time with Jamie and whomever wants to spend more time. What I said to you earlier is the actual numbers for HotelInvest or AccorInvest are 270 is perfectly on line with what was budgeted, forecasted, shared with investors so there's no budgeted prices whatsoever probably to the contrary.
Sébastien Bazin: Are we done? Okay, thank you all.